Operator: Good morning. My name is Mike, and I will be your conference operator today. At this time, I would like to welcome everyone to the TransAlta Corporation Fourth Quarter and Full Year 2018 Results Conference Call. [Operator Instructions]. I will now turn the call over to Sally Taylor, Manager, Investor Relations. You may begin your conference.
Sally Taylor: Thank you, Mike. Good morning, everyone, and welcome to TransAlta's Fourth Quarter 2018 conference call. With me today are Dawn Farrell, President and Chief Executive Officer; Brett Gellner, Chief Strategy and Investment Officer; Christophe Dehout, Chief Financial Officer; and John Kousinioris, Chief Growth Officer. Today's call is webcast, and I invite those listening on the phone lines to view the supporting slides, which are available on our website. A replay of the call will be available later today, and the transcript will be posted on our website shortly thereafter.  As usual, all information provided during this conference call is subject to the forward-looking statement qualifications, which is set out on Slide 2, detailed in our MD&A, and incorporated in full for the purposes of today's call. All amounts referenced during the call are in Canadian currency unless otherwise stated. The non-IFRS terminology used, including gross margin, comparable EBITDA, funds from operations and free cash flow, are reconciled in the MD&A for your reference. On today's call, Dawn, Brett and Christophe will provide an overview of the past year and update on our coal-to-gas conversion and hydro assets, followed by the financial results. After these prepared remarks, we will open the call to questions. With that, let me turn the call over to Dawn.
Dawn Farrell: Thanks, Sally, and thanks, everyone, for joining us on the call today. In just 22 months, the remaining legislated PPAs that were set up here in 2000 to bridge to the full deregulation of the electricity markets will expire. And really, that's not that far away. By the end of 2020, Alberta's transition to a fully competitive market for power generation will be in place. This event creates significant opportunity for investors and companies that hold low-cost and competitive assets here in the province. Only producers with strong portfolios of competitive assets can be profitable and TransAlta has that portfolio. Today, we intend to assure you that our plan to position for the new capacity market in Alberta is not only well underway, but it's tracking. You will also get the information you need to see that moving to a clean power company is profitable, it's right for the environment, and most importantly, it keeps prices affordable for consumers. Our presentation has been extended so that we have time to outline the significant progress we've made on our strategy, and of course, we want to take the time to share the highlights of our 2018 performance. On performance, you'll hear that 2018 was one of our best years in terms of safety, operational, and financial performance. Lots to be proud of. On safety, total injuries declined 44% relative to 2017, a great accomplishment for all our teams out in the field. On operations, we had the best availability at Sundance and Keephills since 1990 and 2011, respectively, again, a greater confirmation -- a great accomplishment from the teams at Wabamun. On financial performance, the cash we collected in 2018 from our operations, along with the onetime payment for the expiry of the Sundance PPAs, has made a real dent in our debt reduction target.  Our performance has also been positively impacted by the greenlight program. Over 1,600 initiatives by employees generated $70 million of value in our 2018 numbers, values that also rose forward into 2019. In 2019, the program moves into sustainment and becomes a permanent feature in our operating model. On strategy, you'll hear that we're growing the cash flows of TransAlta Corporation with investments in coal-to-gas, the realization of value from our hydro operations and through our ownership in TransAlta Renewables. Our strategy is simple and the outcomes of it are measurable for shareholders. By the end of this call, we hope that the many questions around our hydro assets will be answered. We want investors to understand that the change in profitability of the hydro assets here in Alberta in 2021 is real, is positive and is sustainable over the long term. You'll also be able to see that the returns in the coal-to-gas conversion are more than compelling, and benefits increased to shareholders and customers if we can accelerate that program. The list of things to do is getting shorter as we move towards executing our first investment from coal to gas at one of our Sundance units.  Finally, we will discuss the growth we landed in 2018, which is not only profitable, but can be financed entirely inside of our TransAlta renewables entity. This is a critically important point that we really want to lay out today on this call. Windrise, Antrim and Big Level are great projects, with returns that exceed the cost of capital and that combined together, add $ 40 million to $45 million of EBITDA by 2022. Today, we structured the call a bit differently. Brett Gellner has joined us on the call as he is the lead of the coal-to-gas investments, and he will also provide you with an update on the hydro front, so that you have clear line of sight to what happens when the PPA expires at the end of 2020. Following my remarks and Brett's discussion, Christophe will take you through the details of our financials in 2018.  I provided this slide because I want to talk for a minute about how we strengthened the team here -- the executive team here at TransAlta to ensure that we have the amount of focus that we need on our strategy. Some of you have briefly met Christophe Dehout, our new Chief Financial Officer. Christophe comes from a large international European energy company, has over 25 years experience in all aspects of financing large infrastructure, and that includes power generation. And you're going to hear from him shortly. Kerry O’Reilly Wilks has joined us as Chief Legal and Compliance Officer, her career in one of Canada's top legal firms, and her comprehensive and practical experience in the mining business, has allowed her to get up to speed in our industry very quickly. Jane Fedoretz, executive role as the Chief Talent and Transformation Officer. She brings with her an impressive track record that combines her background in law with her exceptional skills in people development and leadership. Her role is to move Greenlight to sustainment in 2019 and to develop even stronger programs and practices to strengthen and develop our people in this time of intensive change. The addition of these talented leaders has allowed the rest of the executive team to really focus on key elements of our strategy.  Brett Gellner has built a team to execute the coal-to-gas strategy. He will take you through the extensive work they've done and also take you through the hydro analysis. John Kousinioris is now focused exclusively on running and growing our gas and renewables business. He is ensuring that TransAlta Renewables can fund both the growth we've delivered and what we are planning. Dawn de Lima is focused on creating exceptional shared services business so that we can continue to gain efficiencies in our overhead. And finally, you'll see today that having Wayne Collins focus exclusively on day-to-day operations at coal has really paid off.  This slide outlines some of our key accomplishments in 2018, and congratulations to our employees who did all of this work. This morning, we reported strong financial and operating performance in 2018, including our highest free cash flow generation in recent years and an 18% increase over last year. Our focus remains on increasing sustainable free cash flow as our key metric, as we believe that this metric gives investors clear line of sight on the amount of capital available for debt reduction, shareholder returns and growth. I am very pleased to be able to say today that we delivered free cash flow that exceeded the high end of our guidance in 2018.  You all know that we've been focused on paying down debt and strengthening our balance sheet so that we can enter into a new competitive and regulatory environment in our major Alberta market with the financial strength and flexibility we need to be successful. Today, already, we have one of the strongest balance sheets in the industry and strong credit supported by our contracted assets. We have reduced net debt by $1.1 billion since 2015. In 2018, we transitioned our Sundance product off the PPAs and into the merchant market. The onetime payment from the Balancing Pool was effectively 3 years of capacity payments for those units. After consolidating the units, our job was to make the remaining Sundance units profitable without PPAs until such time that they could be bid into the capacity market. The coal team in 2018 was able to deliver availability, utilize gas through coal firing, reduce costs, achieve profitable margins, and improve safety, a very impressive outcome. Brett is going to take you through the detail on how far we've come on our execution of our plan to convert units to gas. He will also demonstrate that our units on gas creates sustainable cash flows until the 2035 to 2039 time frame even at low prices.  This next slide talks a bit about the work we've been doing a TransAlta Renewables. TransAlta Renewables has had some nice wins on the growth front in 2018. This past year, we successfully progressed construction of several projects and secure new contracts for other. By investing very moderate development dollars in brownfield projects in TransAlta and then taking advantage of the lower cost of capital in TransAlta Renewables, we can finance growth in TransAlta Renewables to the benefit of both sets of shareholders. The capacity of TransAlta Renewables to finance using its credit facility allows us to hold our 61% ownership, and we don't need to allocate cash from TransAlta to this growth. This is a key point on our call today. Growth in TransAlta Renewables benefits TransAlta by ensuring our dividend payment remains steady and it extends our overall portfolio life, which reduces the cost of capital for TransAlta Corporation as a whole, another key point.  Last year, we grew TransAlta Renewables by dropping down Lakeswind, Kent Breeze, and Mass Solar projects, generating over $100 million in proceeds that we then used to strengthen our balance sheet at TransAlta. We also completed Kent Hills 3 wind project, and we advanced the construction of Big Level and Antrim wind facilities. Our most recent announcement of the Windrise wind project here in Alberta is an excellent future candidate for TransAlta Renewables. We'll show you today that TransAlta Renewables can fund all of these projects using its credit facility.  Now why is this such an important point? Because it means that the free cash flow at TransAlta can be directed to strengthening our balance sheet, finding our coal-to-gas conversions, and eventually, increasing our ability to return cash to shareholders.  In terms of our financial highlights, I've already talked about our free cash flow of $367 million, a strong result over 2017. When I sit back and reflect on 2018, the hard work and the perseverance of Wayne Collins and the Alberta thermal team must be recognized. This past year, they were able to improve availability and safety while transitioning to Sundance fleet. The team faced many challenges, but they rose to the occasion, and they delivered for the company. They found ways to add margin, they lowered fixed cost at the mine and at the plant, they lowered operating cost, and they set up the mines for the coal deliveries to the end of its life, which is around 2023. The rest of the operations, people worked extremely hard and delivered what we thought they would. We did have a nice surprise, some -- a nice upside in the hydro business as prices improved in the market. You also see on this chart that EBITDA was slightly down, which is primarily due to a mark-to-market at Centralia; and Christophe is going to take you through that in his section.  I do want to take a few minutes to talk about Greenlight because it's been a central transformation for the company since 2016. I want to congratulate the TransAlta team on the extensive work they've all done across this company to make Greenlight a very successful program.  Let me remind you that Greenlight is a program we've been using across the company since September of 2016 to not only increase our execution capability, but to realize value and cost savings on many fronts. Greenlight projects are employee-driven. We completed over 1,600 projects with over $70 million of pretax value, which flowed into our 2018 results, and these projects continue to produce value in 2019 and beyond. Every project in our Greenlight program is tracked, is auditable, and we can trace the performance of these projects into our financial calculations. The benefits of the program are enormous, and they affect more than our financial results.  Greenlight goes after projects that offset any headwinds that we experienced after setting our budget. It goes after future increases in cost from suppliers or service providers, and it delivers incremental new value and assets through innovation.  Let me talk for a minute about the new value creation through innovation, and these are in our existing assets. Our team at Sarnia found a way to lower the setpoint on their turbines while running on steam. This reduced their natural gas cost. Our team at Alberta coal designed a project to utilize the existing gas infrastructure to coal fire gas and reduce greenhouse gas cost. Our team in gas redesigned their capital program to ensure that only projects with the highest returns and benefits to the company get through their stage gates.  Projects in our transformation are not all about cost reductions, reductions in workforce, and direct value creation. They also streamline processes so that we can improve our focus on safety, which you saw results on, and our customers. This is a company-wide program where any group or any single employee can use the discipline in Greenlight to bring their projects to light and gain cross company assistance for achieving milestones.  So let me end by saying that I phone employees weekly to gain their insights on why the program works and what we can do to continue to improve it. What they tell me is that we've moved accountability and decision-making to the right levels, people, and teams in the organization.  I've included this next slide to reinforce how having 2 companies with different cost of capital benefit TransAlta shareholders. At TransAlta, we just started using serious capital to complete our coal-to-gas transition. Our investment in the Pioneer pipeline project was the first series capital that we put to work to make this strategy a reality. Brett will demonstrate that we will lower our cost significantly and increase our competitiveness in the Alberta market by investing in these conversions as soon as we can. By maintaining our hydro assets, we are preparing for 22 months from now when the hydro PPA expires, along with the other PPAs here in Alberta. You'll see in Brett's presentation that the combined cash flows of the thermal fleet and the hydro fleet under various pricing assumptions generates cash to 2035 and beyond. This information will demonstrate the value of TransAlta going forward.  TransAlta Renewables has a very low cost of capital, which is expected in entities that invest in long-term contracted assets and that return most of their capital to shareholders through their dividends. As a 61% shareholder of that entity, we want TransAlta Renewables to add assets at returns above their cost of capital, with long-term contact lengths and diversified geographies and technologies. TransAlta applies its expertise to prospect, develop, and construct contracted gas and renewables project, with a view to increasing value prior to a drop down to TransAlta Renewables. We get returns for this effort in TransAlta. TransAlta will sometimes start a project and get it up and running for a future drop down to TransAlta Renewables. Windrise falls into that category. Today, our three wind farms, Windrise, Antrim and Big Level, can be entirely funded inside TransAlta Renewables. This means cash flow at TransAlta can focus on coal-to-gas conversions.  In summary, as we complete our transition of the PPA here in Alberta and move to the capacity market, as we move off coal and onto gas, TransAlta will have a strong foundation of cash coming in from TransAlta Renewables, the Alberta hydro assets, and from our thermal fleet in Alberta. This cash will be available for allocation to shareholders through dividend and share repurchases. I'd like now to turn the call to Brett, who will take you through all his work on coal-to-gas conversions and who will give you a really good summary of how to evaluate what the value is in our hydro assets once the PPA expires.
Brett Gellner: Okay. Good morning, everyone, and thanks, Dawn. So as Dawn indicated, I'm going to review our coal-to-gas strategy and the future upside in EBITDA from both our converted coal units and hydro assets.  In terms of our coal-to-gas strategy, the first key message I want you to take away is that the economics and benefits of converting to gas is driven by a number of factors, not just carbon policy. Secondly, our strategy to convert is on track, and we're targeting the first conversion for the second half of 2020.  Finally, we're also evaluating a repowering option for some of the units, which has the potential to deliver significant long-term value. In terms of our hydro assets, I'll walk you through the significant upside in EBITDA once we're off the PPA. Our hydro business delivered $109 million of EBITDA in 2018, but I'll show you it would have delivered $244 million without the PPA. Finally, I'll show you that there's significant potential upside in the combined converted coal fleet and hydro business in the future. So now just turning to the slide. As we've discussed in the past, there are significant benefits to converting the coal fleet to gas. First, if the units are not converted, they have to shut down under provincial and federal government regulations between the end of 2026 and the end of 2029. This impacts all coal units in the province, not just TransAlta's. The outside data, which all coal units in the province have shut down at the end of 2029. However, if converted to gas through a boiler conversion, the units can run significantly longer under the federal regulation that was put in place last year. How long a unit can run depends on its carbon emission intensity. For TransAlta units, we expect that all subcritical units will receive 8 more years, and the supercritical units, 10 more years. As a result, these units will be able to run out until 2034 to 2039. The cost of converting the units and, therefore, getting the extra years, is very low at under $90 per kw, compared to a new combined cycle or gas peaker in the range of $1,400 per kw.  Another significant benefit of converting is that it avoids the need to invest significant capital in low NOx burners and operating cost for dry sorben injection in order to meet the provincial NOx and SOx regulations. If the units are not converted, not only would we not get the extra years, we would have to spend over $300 million to meet the NOx and SOx limits. The capital and operating costs, once converted, also declined significantly. Fewer people are required to operate the facilities, and the mine capital and operating costs go away. Maintenance capital is also expected to be lower as there is less wear and tear and maintenance on the boilers and equipment due to the elimination of coal in fly ash. In addition, carbon costs are significantly lower burning gas and coal, and there is an abundant supply of gas in Western Canada, resulting in very attractive gas prices at some points of the year. The units are also more flexible on gas, allowing them to be more responsive to changes in load and market conditions. Finally, conversions are relatively low-risk projects and are proven. The average time to do the conversion is expected to be approximately 60 days, and these projects have been successfully completed in the United States, some of which we have visited.  So now, in terms of status, in order fully convert, we need more pipeline capacity into the sites as the existing pipeline is relatively small in diameter as it was designed just for startup gas in heating the building. As a result, we entered into the partnership with Tidewater to build a pioneer pipeline, a new 20-inch pipeline into Sundance and Keephills. And that pipeline is under construction and expected to be in-service by the second half of this year. Our overall pipeline strategy is to have two pipes into the site in order to ensure maximum reliability and flexibility and access to multiple sources of natural gas. Therefore, while we have the existing smaller pipeline, we are in discussions with other parties regarding the strategy for the second pipeline. While we have been coal firing some of the units since early last year to reduce carbon costs and take advantage of low gas prices, we are limited to how much we can coal fire given the limits on the existing pipeline. Therefore, the Pioneer pipeline will allow us to coal fire even more even before we fully convert to gas.  In terms of the boiler conversions. We have received approval for the conversions from the Alberta Utilities Commission and are just waiting for Alberta Environment and Parks' approval. We expect to issue limited notice to proceed for two conversions over the next couple of months in order to finalize the engineering work, and plan on issuing final notice to proceed on those units by mid this year. We will then proceed with the other units after that. We're targeting all of the conversions to occur over the late 2020 to 2023 period with the first one targeted for the second half of 2020.  Now, as I mentioned earlier, we have also started to evaluate the potential to repower one or two of the units instead of doing boiler conversions on them. Repowering would involve installing one or more combustion turbines in [indiscernible] and then using the steam from them to operate the existing steam turbines in the coal units. As a result, the boilers associated with those units would be retired. We have completed an initial study on this opportunity and visited a power plant in the United States that was repowered and has been successfully operating for 10 years. These projects are delivering heat rates consistent with new combined cycle, plants but at a capital cost that is 40% to 50% less than a new combined cycle. The other benefit is that these units can run as long as the equipment will allow to potentially 20 to 25 years. Therefore, based on the work we've done to date, this opportunity looks promising, and we'll simply post it as the work progresses.  This slide compares the cost for the boiler conversion and repowering combined cycle; two new combined cycle and new gas peaker. But as you can see, the boiler conversions and repowering are at a fraction of the cost of new builds because they utilize equipment that is already there. As I indicated, our capital and OM&A cost are expected to decline significantly once the units are fully converted. This slide shows our historical OM&A capital cost at the coal plants and what we expect them to be once the units are completely converted to gas.  In the middle, we have also included the average annual cost to meet the NOx and SOx that would be required if the unit stayed on coal. As you can see, our costs will go down significantly once converted. I should point out that these are annual averages, and the amount in each year will vary based on the timing of planned major maintenance outages.  So in terms of the Pioneer pipeline, as I noted, it's progressing very well, as you can see, by the picture. This project is being built at a very competitive cost when compared to other natural gas pipeline projects. On the bottom left, we show the potential EBITDA that TransAlta could generate from its 50% ownership in the pipe at different throughput volumes. The range of volumes shown reflect the potential volumes TransAlta will need from the Pioneer pipeline as the units at Sundance and Keephills convert fully to gas.  So now, I'm going to switch gears and spend a few minutes on the potential upside from our hydro assets once they come off the legislated PPAs at the end of next year. John Kousinioris, who heads up our gas and renewables business, is also here and can help answer any questions at the end of the call. Before discussing the ancillary market and our hydro, it's important to remind people that the hydro PPA was put in place at the same time as all the other legislative PPAs. While some of those original legislative PPAs have already expired or have been handed back to the asset owners, a number of them are still in place, including the Hydro 1. As you can see, all of them expire at the end of 2020, at which time, the owners of the facilities, whether it's a coal PPA or a hydro PPA, will capture all the revenue they generate from the energy ancillary and capacity markets they provide to the market and also incur all the associated costs to operate those units.  Our hydro assets in Alberta, because of their storage capability and ability to respond quickly to market needs, provide energy ancillary and the capacity markets to -- services to the market, and we'll continue to provide those services even after the PPA expires.  In terms of the ancillary service market in Alberta, this slide shows the size of the market by product and what technology service the market. In total, the market is approximately 7,800 gigawatt hours in size, and hydro has historically supplied approximately 47% of the aftermarket. As a result, TransAlta's Alberta hydro assets not only generate approximately 1,500 gigawatt hours of energy every year but also sell approximately 3,000 gigawatts in ancillary services.  Ancillary service prices per megawatt hour vary depending on the type of product, but on average, sell for about 50% of the 24/7 energy price. As well, the 1,500 gigawatt hours of energy that hydro generates tends to be during more peak hours.  So now, to show the upside of the hydro assets once they come off the PPA, we have provided more disclosure in our MD&A under the hydro section. In 2018, our hydro assets generated $109 million in EBITDA, and as I will walk you through now, it would have generated $244 million if the current PPA did not exist, assuming the capacity market was up and running and delivered similar capacity revenues. So let me now walk us through this chart. So the first two bars on the left show how much energy and ancillary service revenue TransAlta generated in 2018 by selling those services into the merchant market. Even after the PPA expires, we will continue to sell those services, the price for which will be determined by market conditions.  The third bar is the capacity payment we received under the existing PPA. This PPA, by the way, is a public document available from the Alberta Queen's printer. This capacity payment will go away after the PPA expires, but we will receive capacity revenue once the capacity market begins at the end of 2021. Again, the price of future capacity is unknown at this time, but to put it into perspective, the current payment is under $6 per kw a month when applied to the full nameplate capacity of the Alberta hydro assets.  The next bar is other revenue we generate from our hydro segment. We generate revenue from our other hydro assets in Alberta, BC and Ontario, most of those are under long-term PPAs with the local utilities. We also receive revenue in Alberta for other services, such as blackstart and water management services. And finally, we included in this segment revenue from the very small regulated transmission assets we own in Alberta.  The cost to operate all of our hydro fleet was $47 million in 2018, and when this gets deducted from all the revenue I just walked you through, you get $244 million of EBITDA that would have been generated if the PPA did not exist and we are in a capacity market. Under the PPA, however, we paid to the Balancing Pool in 2018 a net amount of $135 million for energy and ancillary obligations net of some costs. This is the amount that goes away once PPA expires. I should note that the Balancing Pool in their public reports do provide the PPA obligation volumes for the energy and ancillary services for hydro.  So, as you can see, there's significant upside from our hydro assets in the future. While what we have shown here is based on 2018 results, the amount these assets generate in the future will be subject to future energy, ancillary, and capacity prices.  Okay, so now, I just want to wrap up my section by showing you the potential EBITDA that the converted coal units and our hydro assets in Alberta would potentially generate under different all-in prices. First, in terms of prices, this chart shows historical prices under the energy-only market, and what one forecaster EDC associate is projecting for prices once the capacity market is fully functioning. For the historical period shown, prices averaged approximately $50 per megawatt hour; or if you exclude 2016 and '17 period, during which some offers into the market were not being bid on reasonable commercial terms, the average price was just around $60 a megawatt hour. In comparison, EDC is projecting all-in prices in the range of $75 to $80 a megawatt hour once the capacity market is in place. I should also note that the ISO did some analysis about a year ago that provided prices in the low to high $60 range once the capacity market was in place.  So this chart shows the potential EBITDA from our hydro segment and the converted coal fleet using the price range discussed on the previous chart. As you can see, on an all-in price of $50 a megawatt hour, the assets are expected to generate EBITDA similar to what they generated in '18. Using the more normal historical average of $60 a megawatt hour or the EDC's forecast, you can see the offsets will generate significantly higher EBITDA. These EBITDAs assume the capacity market is fully functioning and TransAlta's coal-to-gas strategy is complete. Also note that this chart does not include the EBITDA from all the other assets TransAlta owns in Alberta and other jurisdictions.  So with that, I'm going to now turn the call over to Christophe.
Christophe Dehout: Thank you, Brett, and good morning, everyone. I am pleased to be speaking in my first TransAlta conference call and look forward to many more with you in the future. I will start with a quick overview of our performance for the fourth quarter of 2018 and our financial results for the full year. Following that, I will take you through the evolution of our debt and capital allocation for both TransAlta and TransAlta Renewables, and the impact of our last renewable projects on our future results.  First, looking at the quarter. Power prices in Alberta were strong, averaging $55 by megawatt hour compared to $22 for the same period in 2017. This increase is primarily due to higher carbon compliance costs and improved market fundamentals. As Dawn mentioned, our fleet availability was stronger during this quarter than it was in 2017 due to lower outages and derates in Canadian coal. This was partially offset by higher outages at our coal unit Centralia in the U.S. These factors supported financial results equivalent to the fourth quarter of last year, during which, we still benefited from the Sundance PPA.  Our fourth quarter EBITDA of $233 million was $42 million lower than in 2017, partially due to outages and a negative change of $28 million in the mark-to-market of our committed hedges for U.S. coal operations. This mark-to-market movement does not impact our funds from operation or free cash flow, and we expect it to reverse in 2019. We also saw a reduction of $10 million in our Canadian Coal EBITDA due to higher carbon compliance and coal costs, as well as lower fixed revenue due to the terminated PPA at Sundance. Hydro, Australian and Canadian Gas operations had stronger quarter results and outperformed the fourth quarter of 2017.  As you can see at the bottom right of the slide, our 2018 EBITDA reached more than $1.1 billion. This amount includes the one-off PPA termination payment of $157 million for some of our Canadian coal assets. After adjusting for this amount and the $34 million one-off OEFC payment in 2017, our EBITDA is slightly below our 2017 results at $966 million. However, this amount also includes the negative mark-to-market of our commodity hedges for a total amount of $22 million. Without this, our EBITDA would reach $988 million.  From 2019 onwards, we will report our EBITDA without mark-to-market of commodity hedges as this does not correctly reflect the performance of our operations.  I would like to strengthen the fact that we view this 2018 EBITDA result, as positive as we have managed to transition away from a PPA environment to full-merchant operation for some of our coal assets in Canada, benefiting also from our investment in gas coal firing. We also saw a stronger performance in the Canadian Gas segment as well as higher results in wind and hydro, which benefited from higher prices in Alberta, both in the energy and ancillary services.  During the fourth quarter of 2018, our total cash flow was higher than in the fourth quarter of 2017 at $192 million. All operating businesses outperformed last year with the exception of Energy Marketing and slightly higher corporate costs due to some one-off items.  On a full-year basis, after adjusting for the OEFC payment in 2017 and the PPA termination payment in 2018, our cash flow from our businesses increased by $67 million year-over-year. This increase was primarily driven by: higher availability of our units, positive impact of Greenlight initiatives and operations; higher power prices in Canada, benefiting our gas, hydro and wind businesses; lower capital expenditures in Canadian Coal, thanks to an optimum allocation of the units with the end of the PPA agreements; and additional revenues from [indiscernible] services in Australian gas.  I will now turn to free cash flow, which includes interest expense, taxes, noncontrolling interest, and preferred share dividends. Our total free cash flow for the year amounted to $524 million. If we exclude the one-off items in both 2017 and 2018, our free cash flow still shows an increase of $57 million over 2017 to $368 million for the whole year. The increase is mainly due to the stable funds from operation and lower sustaining capital due to further optimization of capital expenditures in the company, with most initiatives developed within the Greenlight program. As Dawn noted, this is the highest free cash flow the company has generated in the past several years.  As you can see on this slide, through various strict financial discipline, we have managed to reduce or recost corporate debt by $1.6 billion over four years, and we still target $1.2 billion by the end of 2020. I will get into more details on this in the next few slides.  Our capital allocation reflects our current strategy for TransAlta Corporation and TransAlta Renewables. Both share the same goal, sustaining our businesses. If you now look at each entity. For TransAlta Corporation, our focus has mainly been reducing our debt in last four years while also investing in developing projects before transferring them to TransAlta Renewables. We also pay regular dividends and have opened a program in 2018 to buy back shares. As we near the end of our debt reduction program and as uncertainties lift in Alberta, we may also consider investing faster in the coal-to-gas conversion of our Canadian Coal assets. And after 2020, look at shareholders' remuneration. At TransAlta Renewables, the picture is simple and will remain consistent: maintain the dividend distributions, pay back project finance debt, and mainly invest in new projects.  As we look forward over the next 3 years, our capital allocation strategy at TransAlta Corporation will continue to focus on our 3 key areas: debt reduction, investment in coal-to-gas and for the development of projects for TransAlta Renewables, and finally, shareholders' remuneration.  On the balance sheet front, we intend to repay the $400 million bond maturing in late 2020, with a strong excess cash flow generated by the business, further strengthening our balance sheet. In addition, between TransAlta and TransAlta Renewables, further debt reduction occurs through the mandatory principal payments associated with amortizing project debt.  TransAlta Renewables will focus on growth and allocate capital to long-term contracted growth opportunities. These projects will be highly levered within TransAlta Renewables, which has the capital available to grow its business independently from TransAlta. As Dawn mentioned, the announced growth projects can all be funded with our cash and the existing TransAlta Renewables credit facilities and will not require any capital investment from TransAlta or the market. Consequently, we do not anticipate to go to the equity market to finance the current projects.  As outlined in the Investor Day in 2017, our capital allocation plan for 2018 to 2020 is underpinned by our ability to deliver at least $1.2 billion in free cash flow during the 3-year time frame of 2018 to 2020. This target included the expected PPA termination payment of $213 million, of which we have already received $157 million. Our guidance for 2019 of $270 million to $330 million of free cash flow takes into account several assumptions like Alberta power prices in the range of $50 to $60 per megawatt hour, lock factor of 30% for Sundance coal units, sustainable capital in the range of $160 million to $190 million, as well as the full impact of our performance plan, Greenlight.  On a consolidated basis, the growth from TransAlta Renewables will lift our EBITDA. As you can see on this chart, we already see the benefits of the South Hedland project. In this year and the next, we will start to see the benefit from some of the recently announced growth projects in TransAlta Renewables, with long-term contracted assets, further strengthening our balance sheet and reducing the business risk on a consolidated basis.  So to sum up, you can see we've continued to generate strong cash flow from a highly diversified set of assets, and we have one of the strongest balance sheets in the industry, positioning us well for the future. With that, I will now pass the call back to Dawn for the conclusion.
Dawn Farrell: Thanks, Christophe, and welcome to Canada. And thanks, Brett, for all of that great information. So just a couple of closing comments, because I'm hoping you're all anxious to get to the Q&A period because I think we've provided you with a lot of information today that you haven't heard before. And as you can see, we've really advanced. So you've heard today that in 2018, we delivered what we set out to do. You've heard that we've advanced our strategy and our execution plan significantly on our coal-to-gas and are really positioning to advance those conversions into the 2020 to 2023 time frame. You've heard that we have strengthened our balance sheet and are really set up to go into what will be a competitive market. As you all know, in a competitive market, it's only about cost, cost, cost so that you can deliver value to customers because that's what they expect.  We've shown you today that going green is profitable and that it benefits consumers, and that's a significant change in my 33 years in the industry. I think this is really the first time that I can say that, clearly, consumers can get what they want, which is green and low cost power.  We've shown you that TransAlta Renewables can fund the long-term contracted projects, and we've got John Kousinioris here ready to answer questions on that front, and we've been able to find excellent projects. We've shown you we can take some of the returns of that into TransAlta, as we do all the development, the prospecting, and really, the setting up for those projects.  I guess the other thing we've shown you is that our strategic plan is extremely simple and it's measurable, and you can measure our performance in it. It focuses on converting those plants to gas and creating sustainable cash flows for the next 15 years. Brett's shown you that there's even better opportunities now that we've looked very deeply at the idea of potentially using one or two of the locations for hybrids, which are significantly more cost-effective than anything anybody can put in the ground here in Alberta.  We've shown you that the hydro PPA expires, just like all the rest of them. And I think our disclosures are excellent now. You can see in our MD&A, in black and white, exactly how that works, and Brett's done a great job of showing that to you.  So with that, I think you know what our investment thesis is. I think it's changed significantly over the past year, and I really look forward to your questions as we go forward because I think we've given you a lot to chew on here today. So with that, I'll turn it back over to Sally.
Sally Taylor: Thank you, Dawn. Mike, if you could please open up the call for questions.
Operator: [Operator Instructions]. Your first question comes from Rob Hope from Scotiabank.
Robert Hope: Appreciate the new hydro disclosure. Not surprisingly, the first question is on the hydro upside. So if we look at Slide 18 and the $244 million of EBITDA that you outlined, that assumes some sort of capacity market. If we rewind this back to 2018, where there's no capacity market, would it be fair to assume that then kind of the EBITDA you would have generated in 2018 would have been $244 million less than $56 million, so closer to $190 million?
Dawn Farrell: Yes, I think I'm going to start with that, and then John and Brett can come in. Because I think one of the things you got to look at, and you can see it further on EDC slides, remember, in an energy-only market, the capacity price is in the energy price. So I think in a -- people in a fully functioning -- remember, the market today in Alberta is an energy-only market with PPAs. So in a fully functioning energy-only market, if you went back to that, you have to put in place some safeguards and some guardrails to ensure you've got enough capacity, which means that you really have to have capacity prices show up in the energy-only price in order to market to create enough capacity for reliability. So given that the hydro dispatches at prices -- can dispatch by hour into the highest-priced hours, you'd have to expect that under a true energy-only market with the right rules in it and with the right capacity response in the energy-only price, that I don't think it would be that much different. But I'll let Brett and John comment on that.
Brett Gellner: Yes. The only -- so to that point, think about those average prices that I walk you through historically. So if you say $60, remember 2018 averaged $50 on a flat energy. So as I mentioned, ancillary gets about half that. We get a bit higher because we sell more in the peak hours on the energy. But even just taking that extra $10, and applying it to the energy and ancillary services that we sell, if you assume $60, you would recover maybe not all that capacity price, but some of it. So it really depends on -- there are some years where prices have been quite a bit higher than $60. So to Dawn's point, 2 different markets, but I mean, technically, you are correct, it comes out. But our view is prices could be higher to overcome some of that.
John Kousinioris: And Brett, you articulated it well. I think that's exactly what would probably happen. And the other thing is unlike other jurisdictions, we are capped from a pricing perspective, when you have those high-priced hours at $999, and [indiscernible] since you'd get more, and that kind of goes to Dawn's point of...
Dawn Farrell: Yes, if you look at true energy-only markets where they don't have PPAs and they don't have capacity calls, you cannot run the Alberta market with $1,000 a megawatt hour cap, or you'll run out of capacity. You have to be willing to take that cap up to 10,000, 14,000, 15,000, 20,000. It has to cap theoretically in order to achieve the capacity that you need in the market, is the opportunity cost of the last -- of the first unit that you take off the system. So there's lots of theory that goes behind that. So I think if you want to be conservative, you could do that, Rob, but I think you have to really consider what our capacity -- what an energy market would have to look like if it's going to achieve the capacity you need for reliability.
Robert Hope: All right. Appreciate that. And then as a follow-up, just looking at 2019 year-to-date, you're Sundance units have been running ahead of your guidance level. February pricing was $100 a megawatt hour roughly. Just want to get a sense of how you think you're performing relative to your 2019 guidance.
Dawn Farrell: Well, we'd love to tell you that we're going to hit it out of the park. But we also live in Alberta, and of course, January was a really low-priced month. And so when we kind of look at January and February together, we're pleased and -- but it's early in the year, Rob, and certainly, as we go through the year, we'll be sure to update you if we see that it's running more positive than we thought.
Operator: Your next question comes from Ben Pham from BMO.
Benjamin Pham: I wanted to follow-up on some of Rob's questions on the hydro bridge. And no doubt, I mean, there's certainly some EBITDA upside that's heading hidden in terms of the future expectations. I just want to get to some of the assumptions underpinning this, because it seems like this disclosure is not too different than 2017 Investor Day. But just doing some quick math, if you take energy plus capacity, doesn't that assume about a $19 all in power price? Or am I tackling that wrong?
Brett Gellner: Yes, I think so remember -- you've got to remember, the hydro sells the roughly 1,500 gigawatt hours and 3,000 gigawatt hours of ancillary, so two products plus capacity. So when you take the revenue, I don't know, which revenues you captured there, Ben, but you need to look at it from that perspective. And I would say, from a disclosure, I think it is more fulsome. We have broken out more on the buckets on the revenue between ancillary and energy and capacity, which we think is helpful because you can take those revenues divided by your volumes and look at how they compare to flat energy prices. And so hopefully that gives you more information for you to use in your modeling efforts. But no, it wouldn't be generating, without seeing your math, those kind of dollars per megawatt hour.
John Kousinioris: I think the numbers actually, Ben, are closer to $60 when you actually do the math. I think as Brett said, there was about 1,500 gigawatts of energy and a bit over 3,000 gigawatts of ancillary services, which we sold, which are roughly at 50% of what we kind of realized energy price would have been over the period. I think the average -- the flat price for the year would have been around $50.
Benjamin Pham: Okay. So I just want to quickly clarify that. So on the revenue side we could just take what you've provided here, but the denominator, I shouldn't be looking at 1,600, I should be adding another 3,000.
Dawn Farrell: That's right.
Brett Gellner: Yes, that's right. Think of it like -- remember, ancillary services, you can't sell energy unless you're called to sell that energy, so think of it as you're really offering two products in the market on an hourly daily basis, one of which flows through the turbines, one is kind of kept on reserve and only used when called upon. And then, it gets -- it captures energy prices at that time as well, but it's really for the system operator to manage this system for unplanned events, but also voltage support and regulation and that has been going on since deregulation.
Dawn Farrell: And it's -- and they're really necessary products here in Alberta. I think the other thing that we've done, Ben, to help people see what this is, is you're getting a disclosure of the volumes of the ancillary services and where you can go find them, so you can verify them independently.
Benjamin Pham: Okay, that makes a lot of sense. Looks like it's more mid-60s, which seems reasonable versus, I think, it was kind of 180 or so, which seem really high. Okay. And there is some disclosure around some mothballing changes and maybe I might have messed up some previous disclosures, but maybe just some thoughts on Sun 4, Sun 5, just some changes in the mothball timing.
Brett Gellner: I don't think -- so Sun 3 and 5 are mothballed currently, and they currently go out to the end of March of 2020, so I think we made that change a bit -- a few -- several months ago, so no, no major change there.
Operator: Your next question comes from Patrick Kenny from National Bank Financial.
Patrick Kenny: Dawn, just on Windrise, you made it clear on the last conference call that in your view, the returns from these projects were less than stellar. Just wondering what other attributes are there economically or strategically helped convince you to allocate the CAD 270 million towards the project.
Dawn Farrell: Well, be clear, Patrick, on -- in all of our bids, we don't bid to the returns of the market, so we just put in our price, we put in the returns that we require for the risk and return of that project, so we evaluate -- we have the site, we evaluate the cost that we can get turbines out. We evaluate our competitiveness on construction. We evaluate sort of the risk of the counterparty, which, in this case, was a strong counterparty and then we put in the actual return that we need to make the project go, and we bid that price. And if we get the project, then it meets our return threshold. And if we don't, then we let her go. And so when we bid projects like this into the first call, we didn't make the cut, but we did make it in the second call, so we were actually surprised by that because we had to ensure that we got the returns that we needed to achieve our target returns for now, we're achieving target returns for long-term contracted assets with strong counterparties with low construction risk. Remember, all of our guys that work in Southern Alberta built our wind farms. And they can build this one, they're aesthetic. John is their new buddy. So we did have advantages there that we've had some for a long time, but we were never able to get our projects through the process because the returns -- people were willing -- they either had lower return threshold or they had better competitive advantage than us. So net-net, that Windrise meets the criteria for sure of our target returns for TransAlta Renewables. And as I've said it, it's sitting right now in TransAlta, but it's a candidate for TransAlta Renewables.
Brett Gellner: And the only other add was we did develop a site that we didn't have ready for that first round, which is a better site and that's the one on one and it had better attributes to it, so the economics were also part of that. So things had changed between the initial rounds and the second round even...
Dawn Farrell: Well, and also we need to get just better turbine prices, right?
Brett Gellner: Correct.
John Kousinioris: Yes, all of us [indiscernible]
Dawn Farrell: Yes, did that help, Patrick?
Patrick Kenny: That does. And I might have missed it in the release, but maybe you can just confirm if you intend to extend the NCIB beyond March 13? Maybe just a comment.
Dawn Farrell: Oh yes, yes -- you might have missed it. Did we put it in the release?
Christophe Dehout: I put it.
Dawn Farrell: Okay. It's in. Yes.
Patrick Kenny: And maybe just a comment on how the NCIB competes for dollars relative to some of these contracted renewable projects out there.
Dawn Farrell: Well, let me just -- I really, really want to land this point. So the NCIB is a TransAlta Corporation NCIB. The -- any sort of contracted assets, they're headed for TransAlta Renewables, so then you have to say, okay, how does TransAlta Renewables think about if it had its own NCIB and, of course, it doesn't. But how would it compare its capital allocation at TransAlta Renewables? And what I see over there, Patrick, is renewables is a big dividend company, so it gives its capital back to dividends, which we want at TransAlta. We're making sure that we finance everything that we're doing on those long-term contracted assets over there. So now when you think about capital allocation at TransAlta, you need to think about, we've got our cash coming from renewables and it's fully financed when it comes over. So it's -- debt has already been paid by the project debt over in renewables. And then we have our cash from our -- rest of our business. And so then the question around capital allocation is when we think about that NCIB, is it a better use of capital than doing the coal-to-gas conversions? Right now, I can tell you the coal-to-gas conversions are a much better return, and you want us to do those and what Brett's presentation showed you today is that even if we can accelerate those sooner, they even give us better returns. But once they're done, the NCIB is really important because then there is quite a significant amount of capital available for return to shareholders through the NCIB or through dividend uplift. Does that make sense?
Patrick Kenny: It does, yes, I appreciate those comments, Dawn. And then, maybe, just for Christophe, and yes, welcome to these lovely winters here in Calgary.
Christophe Dehout: Thank you.
Patrick Kenny: As you look to position the balance sheet for the post PPA era in a couple of years, just wanted to get your thoughts on the importance of maintaining an investment-grade credit rating. What you feel are the most important credit metrics to focus on? And then also maybe you can comment on Slide 25. You're now showing dividend increases as potentially part of your long-term capital allocation strategy, so maybe just a sense as to what your longer-term optimal payout ratio target might be as a percentage of FFO earnings.
Christophe Dehout: Well, the importance of being in investment grade, I mean, has been shown, I mean, certainly, on the trading floor or the fact that we have access to several capital markets. And as you know, the Canadian, I would say, capital market is slightly different than in U.S., but first, it's really important to be investment grade. I tend to focus on FFO to debt, I mean, as rating agencies also do. As far as talking about shareholders' remuneration and beyond, I mean, the end of the PPA, I think it's too soon to tell. I think the message here is really the fact that we've been consistent in our capital allocation until now, and so we still target to -- we aim at the CAD 1.2 billion of corporate debt by the end of 2020. Once -- as I said, once the uncertainty is lift also in the Alberta market, I mean, as we look to convert, I mean, our coal units to gas, once we've invested and once we've realized also the upside on hydro, we'll then allocate capital in the best way we think.
Dawn Farrell: Yes, Patrick. Let me comment here because I think Christophe is just really starting to pull things together here and, certainly, I agree with him entirely that in Canada, investment grade is an important criteria. But the way I've been thinking about it is, Brett showed you that sort of the EBITDA under various scenarios. What's really important when you think about that chart is that the capital required to maintain the hydro and the conversions is significantly different than the capital that's required to maintain coal plants. So the net cash coming out of that chart is stronger. So when you take that net cash and add it together with the other cash that we have, the way I've been thinking about it is, if you start with your FFO, you need an allocation for the sustaining capital so that the assets continue to produce cash over time and then you need an allocation to debt repayment. By that time, that's gone away, as you know, because we'll -- I think the balance sheet that we're aiming for as we start into the decade is a good, strong balance sheet and really no IPP has ever have that balance sheet. They tend to overlever. We're endeavoring to underlever at the TransAlta Corporation level. So if you think about capital allocation then, to me, it's if you got to have money for the sustaining, you got to have money for the highest-value growth projects, and you really got to be clear about what high value is and what your targets are. And then, you've got to distribute cash to shareholders. I think when we get there depends on what the share price is. If the share price is low, for sure, the majority of that capital return to shareholders would be through share buyback. There may be an opportunity to start increasing the dividend, but I think it'll be a combination of those 2, and we'll have to think about what is the amount that shareholders can depend on coming from us as a return of capital for their investment.
Operator: Your next question comes from Mark Jarvi from CIBC Capital Markets.
Mark Jarvi: I wanted to quickly go back to the ancillary revenue services. I'm just wondering what do you guys think, how that trends under capacity market if that's different at all versus the energy one?
John Kousinioris: Yes, we've done a bit of modeling, Mark, on that going forward. And candidly, we don't see that changing significantly when we do the work that we do, both internally and when we look at people from an external perspective that sometimes we see it broadly continuing. And when Brett went through his slide and he talked about kind of the notional capacity value that would be there for the fleet, it's kind of $6-ish sort of per kilowatt month kind of value. We think that, that is an unreasonable sort of proxy for what we expect in the capacity market as well. So in general, we think it is more of the same. And one of the reasons we used that 2018 kind of bridge, it's just when you look at kind of a pricing in that bridge, it's not an unreasonable kind of snapshot on what you can expect on a go-forward basis. It's a reasonable proxy, I think.
Mark Jarvi: Okay. And then, in terms of market share where the hydro is having nearly 50% as you see a bit of a shift in the generation mix, the more wind and some of the coal coming off-line, what do you guys -- should that stay flat or is there anything, you think, would trend differently in terms of percentage that the hydro captures?
John Kousinioris: Yes. I mean, right now, I think what we've seen has been stable for a period of time. And you're right, the generation mix is changing. In fact, it's increased slightly as we've gone on. One thing you need to remember is, we also have obligations in our hydro fleet to manage water flows along the river. And we have a number of permits, so there is an environmental -- everything from recreational users to making sure the lights flows are appropriate along the river. So our macro capacity to actually provide more ancillary services in terms of volume is a little bit constrained in terms of what we're going to be able to do so. Again what you're seeing is a reasonable kind of proxy for the kinds of volumes I think that we're expecting.
Dawn Farrell: Well, I think the thing you want to think about is in a market that has growing renewables, the demand for ancillary service is a bit higher.
John Kousinioris: Should go up.
Dawn Farrell: Because you, on -- especially in some of the cold days here in February, the wind doesn't blow at all. So it's really important to have capacity in ancillary services and operating reserves and all of that. So I would expect, just given the pricing that you see on renewables and how far down it's come down, I would expect to see more in the systems all across the world, which I think puts a higher value on ancillary services.
John Kousinioris: Remember, it's a service that kind of matches supply and demand variability during the day, so...
Mark Jarvi: Right. I just wanted to turn to TransAlta Renewables. You've talked about some of the growth that's happening there and potentially, Windrise standing up in TransAlta Renewables. Could you guys just maybe update us in terms of what you guys think? What is the return hurdle right now whether it's sort of an IRR or cash-on-cash yield for RNW investment?
John Kousinioris: Yes. Mark, we generally -- I'll be honest with you, we generally keep kind of -- that kind of discussion through what our hurdles are and what we're looking at from IRR is, I think, pretty closely guarded to us. I can tell you that when we're looking at drop-downs from TransAlta to TransAlta Renewables, we have our independent committee going through it. They do get a financial adviser, and they go through a pretty rigorous process to make sure that the value of the asset that comes in and effectively, the development team that they're paying for to TransAlta for that asset is appropriate in light of the cost of capital in the company.
Operator: Your next question comes from Andrew Kuske from Crédit Suisse.
Andrew Kuske: Not to harp on the hydro, but I do appreciate the incremental disclosures in the quarter. And just one maybe easy question to start off with that do you anticipate any changes to how hydro will be dispatched in the capacity market to -- versus how they are now?
John Kousinioris: Yes, it's a good question. We've been engaged with the ISO in terms of the technical rules that they're developing for ancillary services and which are particularly oriented around the hydro that we have. The short answer to that process is, in general, we think that the rules those are being proposed are flexible enough to permit us to actually operate hydro as we have been. And they've been developed with that in mind, given, as I mentioned earlier, the obligations that we have from an environmental and permit perspective to manage the water flows on the river. So I think we're expecting, right now, a very similar, not much of a change in the way that we're operating the fleet.
Dawn Farrell: And Andrew, we really want you to harp about the hydro a lot, so feel free to ask us a gazillion questions. We'll stay on the phone all day with you, and we'd like everybody to harp about it. So thank you.
Andrew Kuske: Okay, well, I'll continue harping on hydro later, but I'll...
Dawn Farrell: Okay, thank you now. Thank you.
Andrew Kuske: When you think about just the outlook for pricing in the market structure in Alberta, clearly, you're doing the coal-to-gas conversions. Initially, there are going to be high heat rate units to start off with. You're going to have less baseload coal in the overall market. Just how do you think about the generation stack in the capacity market in the next few years versus what we've seen in the last say, 10 or 15?
Brett Gellner: Andrew, it's Brett. I mean, clearly, it's somewhat a function of the carbon policies and prices, so based on the current carbon policy that's in place today, coal-to-gas on a pure carbon is quite a bit less than coal. There is quite a bit of savings there on a per megawatt hour and then now you're down to really your next variable as your fuel charge and that's your natural gas versus coal. But ultimately, too, as I said earlier, coal goes away for everybody at the end of 2029, so you got a bit of what happens over the next decade and then longer term. But certainly, from our perspective, even though they have higher heat rates than, obviously, a combined cycle or something like that, they -- because of those attributes, we'll continue to dispatch. We expect similar to the way they've been dispatching of late. And then -- but if the carbon policy changes and shifts that, that could shift it going forward. You also have to remember, some of the units like the older peakers that were put in place, the heat rates on those are still pretty high and don't -- aren't as good as a new peaker that's in place. So again, they tend to only operate certain hours and try to pick off those higher prices. So right now, we don't see a lot of change well when we look forward, but again, it's subject to price this -- gas prices and other factors, carbon, in particular.
Operator: Your next question comes from Robert Kwan from RBC Capital Markets.
Robert Kwan: Maybe, I'll just continue here on coal-to-gas. I'm just wondering some of the disclosures here around lengthening the conversion up to '20, '23, and then there is also a statement talking about some or all of our units. I'm just wondering what's in behind that as well.
Brett Gellner: Yes, so the '20 to '23 is really just, as you can appreciate, you can't do all of these in one shot.
Dawn Farrell: I think we'd be forward. We're '22, '23. Is that where we -- I don't know if we like this.
Brett Gellner: [Indiscernible].
Dawn Farrell: He's actually moved it to 2020.
Brett Gellner: Yes. We've moved in a bit, but it's really somewhat a function of timing and outages, and you're not going to -- you're going to do one at a time, as you can appreciate, Robert. And then the summer all is really back to the comment I made about us evaluating this repowering option. So if we see that as an opportunity, then clearly, we may not spend money on the boiler conversion and just move into those instead. So that's the purpose of this summer all.
Robert Kwan: Okay, got it. I guess, then, just moving to Windrise or just using Windrise, as an example, and really more taking a step back and looking about -- looking at how you think about growth risk versus return, growth versus other uses. Based on your EBITDA disclosure for both the pipeline and then the total projects, it looks like you're constructing at plus or minus in the 11x range. Just wondering how you think about that versus M&A that seems to be going in 11 or the 9 to 11x range, so kind of just constructing at where private transactions are going.
Brett Gellner: I mean, I'll jump in and then, John can jump in. I mean, I would say that we are seeing for some assets EBITDA multiples even higher. I also think it's very important to look at each market is going to be different, depending on whether you have tax attributes, what the tax profile looks like, what the term of the contract looks like, so again, we look at it less than from EBITDA multiple perspective, we look at the long-term IRRs of the project. And then, they have to stand and meet our hurdles, but then what we do is we also then roll that into RNW because it may have some other attributes. For example, we may be able to accelerate some of the tax pools from that asset and apply it against Russell fleet. There might be some synergies that we can add to it. So it's less about multiple and more about our return. And I can tell you, the stuff we're seeing, Robert, especially on the solar side or even -- you've seen some of the big hydro stuff is very, very low equity returns.
John Kousinioris: Not a lot to add to what Brett said, frankly, the only thing is that again every project, whether it's an M&A project or whether it's a development project that we're doing internally, I mean, we think of the value of it, it's all based on the characteristics of the project. Everything from the regulatory certainty of the jurisdiction to the quality of the counterparty to the tenor of the contract to the technology that's being used and how comfortable and familiar we are with the technology, so it's a much more nuanced kind of discussion, and we continue to see in many places a very hot from a pricing perspective, M&A market perspective.
Brett Gellner: And Robert, I just want to comment on the pipe because I think you rolled that in your comment. The pipe, again, as I -- we tried to show there, once the pipes are in the ground, clearly, there is not much more incremental capital. We might have to do a bit of compression to get it beyond uncertain levels, but very, very modest. So any incremental volume that gets pushed for that pipe, it's just all straight to the bottom line. And that's why once we start moving volumes that we expect to move through there, you can see it is a very good investment for us, plus it just gives us -- it's my kind of view at no differently than owning the mine or direct lines. It's part of our field supply strategy and good returns coming with it.
Robert Kwan: Right. And then, just to the risk versus return part of this question, this $39 to $41-megawatt hour that you guys have put forward, are there any other revenues that you'd receive as part of that? And if not, how do you weigh that against just building merchant energy carbon credits, capacity price especially when you square that up against your Slide 19?
Christophe Dehout: The price that we're getting into the PPA is the full price. And the economics that we did in making the decisions received was based on that price that it met our whole rates and everything there. There is -- there are people that are speculating, to your point, about whether or not you build some thing like in the emerging kind of market and take those kind of assets. That is not in the kind of risk profile that we have had, certainly, for TransAlta Renewables. I mean, for TransAlta, we're pretty clear about wanting to have contracted assets as best as we can and having the certainty and predictability associated with those assets, and that's in our focus today.
Dawn Farrell: Yes, so Robert, let me make a couple of comments. So I think for TransAlta, the mix is important right now. The contracted assets that we'll add from 2018 from Antrim, Big Level and Windrise. And also having the discipline to project finance those with low-risk counterparties and to derisk those cash flows effectively. The combination of that portfolio with what we're going into Alberta with which will be coal-to-gas and hydro that will be subject to a market, that mix together gives us a lower cost of capital at the corporate level and allows us to continue to have a strong balance sheet on the investment-grade side. As we go forward into the 2020 time frame, and we look at if we were -- if I was to line up the returns of what Brett showed today on a hybrid against a merchant wind project, I would take the hybrid because I think it's got -- it's going to not only provide capacity to the market and ancillary services, but it's going to provide a ton of energy and it's going to be lower cost energy in the market because of the heat rates. So we look at it -- we would look at in the Alberta market that investment would be superior to a merchant wind project. Now when you go over to the Australian market, where our teams kind of -- they look over there under John's guidance, if you're going to build merchant renewables, you go to Australia where that gas prices are $12. And they're still bringing brown coal, and they're charging people $100 per megawatt hour, that will be the better place to take that kind of risk. And I would take that risk if I could see us getting our cash back in 2 to 3 years. I would not take the risk on a wind farm where you need 7 to 8 years to get your money back in a merchant market because I think as you'll see over time, and this isn't next week, and I shouldn't even say because people will think it's next week, but over a long period of time, as ISOs have to think about what it looks like to have more of these interment renewables, they'll have to change rules so that they get enough capacity. So the net-net for our portfolio, I think our mix of assets is right, and we like that contracted -- we'll have a certain amount of contracted projects in TransAlta Renewables because that gives us a better cost to capital at TransAlta.
Christophe Dehout: I think the one thing we also didn't mention, just in terms of your ability to project finance the asset when it's built, which is something that we focus on, I mean with the merchant project that's something, which you're going to be able to do, including with the contracted asset is sticked into that is much, much better.
Brett Gellner: And remember, a wind farm in the capacity market doesn't get paid a lot of capacity. It's a very low amount and also wind, as you know, tends to get a price at a discount to the average price because of wind it blows, so when you factor all that, the risk, the inability to put project debt against it, it is a much higher risk scenario, and you have to think about that when you're looking at those prices that the ISO were awarded.
Robert Kwan: Understand. And if I can just finish with -- oh, sorry, Dawn, do you have...
Dawn Farrell: Sorry, does that help, Robert, just give you, I think, in any way?
Robert Kwan: Yes.
Dawn Farrell: Yes, okay.
Robert Kwan: If I can just finish with Slide 19 and the energy and capacity, what's the underlying capacity price assumption in '22 plus, it looks really high?
Brett Gellner: Yes, again this is from EDC. I think their capacity price is -- what you need to do is this is all on a megawatt heats. They're probably in that $15 to even $20 per KW or -- when you -- and you can just basically, if you took that amount on a per megawatt hour, what I usually do is just there's about 85 million gigs to get to our revenue and divide by clearing capacity in the 10,000. Once you adjust for UCAP, that will give you a rough KW month divided by 12, obviously, to get it on a monthly. And I think you'll get kind of in that zone. I have the numbers, I just don't have them right in front of me.
Robert Kwan: Okay. And do you have any thoughts kind of from a TransAlta perspective where you think capacity might end up landing?
Brett Gellner: Look, my only comment there is -- so again, we think the all-in price is a important way to look at it because especially for plants that are going to run frequently like hydro and fishing coal and our repowering and conversions, but it really comes down to that historical rate of $60 to $65, we think all-in is kind of a number to compensate people that are already in the market but also when required, attract new capital.
Dawn Farrell: Yes, I think if you look at where things are going to go through the 20s, you're going to have to add new capacity in Alberta, and I think the -- I, as an economist, no matter what forecasts show, high prices never persist forever and low prices never persist forever because if -- I think people -- there is people that I have talked about a $30 price, and I'm like, wow, if operators doesn't want any power, I guess, they'll produce a $30 price, and I don't think that's sustainable. I think the ISO in terms of its capacity market has been trying to achieve something that ensures that you can get cost of new entry, you can get new entry, and they don't, in my view, think of new entry is only coming from the incumbents using their balance sheets, they have to actually get new entry to be financed by others and to get it -- when I look at the cost of new entry, it's been in the $50 to $55 range depending on where gas prices are for a long time. So we tend to see that as our kind of how we think what the opportunity might be. For planning purposes, we take the lowest possible price we can dream of and then we drive our cost to that low price.
Robert Kwan: Got it. Do you know -- is EDC done, assuming that cost of new entry is driving the price or the unconstrained bidders versus all of you who are going to be constrained at 85% of net count?
Brett Gellner: Yes, I think you'll have to pay for their service. We can't give you more than that, unfortunately though.
Dawn Farrell: All I can say is those numbers that are -- if you really want to get a new generator and all, you have to have the capacity prices that are that high. For some period of time, all of these guys are coming in and managing it this way. Sorry to tell, we have to go. We're going to -- we'll put Brett on the phone with you off-line, Robert, after, with more detail, if you want.
Operator: Your next question comes from Charles Fishman from Morningstar Research.
Charles Fishman: I just have one question left for Brett on Slide 12. You showed the decision of repowering as a 2019 deliverable, so should we -- will that decision occur this year then? Or will you wait -- let the capacity market start up and, obviously, which would have an impact on the energy market, which I would assume would be the driver for that decision? How -- can you add a little more color there, Brett?
Brett Gellner: Sure, sure. Yes, and those definitely were full steam ahead here. And as I said, we're just close, still issuing limited notice to proceed, which really just finalizes the engineering work that we've been done just in more detail and then we go to limit notice to proceed and we start ordering equipment, which is really the long lead time. The actual outage, as I mentioned, is only approximately 60 days, but we do have to order the equipment and so on. So yes, we're -- I mean, from our perspective, as I said, there is so many benefits to converting that -- this is not a -- we're still wondering. This is where we're going as a company. And the timing, as I said, on when and how many and what years is really just us managing our work levels and stuff like that. And as I said, we're not going to do them all in 1 year or all in 1 month and all at the same time, but no we're full steam ahead.
Charles Fishman: But the repowering decision, which I heard is probably what $500, $600, $700 per KW, that is -- would that be a 2019 deliverable that decision?
Brett Gellner: Yes, yes, sorry, if that's what you're referring to. So yes, look, we want to do a bit more work. As I said, we've done sufficient work that we're pretty excited about it. We need to do a bit more work around things like just -- on the steam side, on the steam turbine and some modeling efforts. But that would be a more longer-permitted project, no question. It's like a -- we've had our Sun 7 combined cycle project from a few years ago, combined cycle that we didn't -- we got fully permitted, but by the time you permit and build, you're talking closer to four years all in. But we hope by this year that we would have advanced that enough to make that call and lay that out for people.
Operator: Your next question comes from [indiscernible].
Unidentified Analyst: I have two questions, and I appreciate you taking my time. So the first question is how you think about like bracketing in the possible political risks to both carbon and capacity markets, given the changes in Alberta politically? Like how do you sort of frame that range of outcomes and financially any color you have there would be helpful.
Dawn Farrell: Okay, so that -- it's Dawn Farrell here. So two things that we think about. On the political risk factor, the capacity market, I think we're -- what we know is that the capacity market recommendation has come directly from the ISO who is the regulator here in Alberta and who is one of the top and most respected ISOs in the world. We know that ISO made that recommendation independently and it was accepted under the current government. And we know that the government -- the party that would like to be the new government also has a very high respect for the institutions in Alberta, the regulatory institutions in Alberta. So I gain my confidence in knowing 2 things: one, that the leadership at the ISO is exceptional and that their commitment to replace the existing PPAs with a market structure that will ensure that we have enough capacity and reliability in Alberta because, as you know, high reliability at low prices is the lifeblood of the competitive economy. I take my confidence and the respect that people have for them and that it's their decision and it was their decision under the current government and it's the current party that would like to get to be the new government, it's their philosophy as well to respect regulators.  So that's on the capacity market. On the carbon levy, there was -- under the old conservative government who is now the UCP, they had put in place a high emitters tax, it was called the [indiscernible]. It had a somewhat similar form to what we have today. It wasn't as high as the one that we have today, but it certainly was there. We do know from discussions that there is a high probability that there will be a -- some sort of a price for carbon emissions in Alberta. And we also, in our federal government, under the federal backstop, there is a carbon price. So if any provincial government currently in Canada decides that they want to not have some sort of carbon price, they fall into the federal backstops and the federal government actually sends the carbon builds to consumers. So -- and you see that going on in Ontario right now, so everything is pointing towards having a price for carbon on coal. I think, finally, the way we look at it is, clearly, investors will support the cash flows coming out of our gas fleet, and they'll, I think, pay more for those cash flows than they would cash flows from the coal fleet because they see those as being transient in nature and short term because there is no dropping, moving, icing some higher carbon intensity ways that make electricity too low or 0 carbon intensity ways of making electricity. So we handicap it as the high probability of a capacity market and a high probability of some sort of price on carbon.
Unidentified Analyst: Okay, that's really helpful. So then one other quick question, plus something on hydro since -- so I guess, the other question, on the repowering opportunity, a couple of hundred million of additional CapEx potentially there, like, how do you think about financing that? And I just want to make sure you're not -- that there wouldn't be like some sort of equity component there obviously given where the stock is.
Dawn Farrell: No. We do not think about financing it with equity. I can say that clearly. And clearly, we're just balancing our capital decisions as we go forward. We've got good capacity in the company.
Brett Gellner: Yes, and just the only other point remember, it's spread out over time because it is a longer-term project. And secondly, as we indicated, we may not do some other projects instead, so we're saving some capital on those projects that would go towards this. But as Dawn mentioned, the returns from our perspective are very good and these would be more starting later or even post 2020.
Dawn Farrell: Yes. I think people will need to think about it this way. We finance a significant amount of coal turnaround capital every single year in this company to keep these coal plants running. And when you're financing the coal plants turnarounds, you're not just fixing the boilers after the floors have made holes in them, but you're having to put significant capital into the mine. You have to -- having to put capital into all the coal-handling equipment, all the grinding equipment, all that sort of thing. So the sooner that you can stop doing coal outages, and you can actually do an outage where you do sort of a final piece of work on the boiler, and you put in the new gas burners, you lower your capital significantly. So there is some incremental capital for sure for the new burners and getting the pipe into the plant, but it is offset by capital that's significant, as you say, on coal. So we're actually able to finance it indirectly through not spending money on the coal plant, not entirely. It's a marginal amount -- not marginal. I mean, it's a couple of hundred million, but it's not significant relative to our current capital -- sustaining capital that we spend today. I hope I was clear there, sorry if I wasn't.
Unidentified Analyst: Yes. No, that totally makes sense. That helps a lot. And then just another quick question on the hydro, like, I just want to be clear, the home for that is TransAlta, there is no current discussions to drop that into renewables or something right given the long contract venture?
Dawn Farrell: That's correct. That's correct.
Operator: Your next question comes from Mitchell Moss from Lord, Abbett.
Mitchell Moss: Thanks for the very detailed slides and the long Q&A. Just talking about coal-to-gas, you guys have discussed the $5 to $6 -- or I think a $6 capacity price or $60 to $65 all-in price. Would you say that those are reasonable price levels or sufficient price levels for you guys to invest in the repowering to a combined cycle?
Brett Gellner: Yes. Yes, for sure. I mean, as I -- given that the capital is significantly lower than a new combined cycle, that's a repowering if you take the actual conversion, boiler conversion, it's extremely low capital. And as I said, we save a lot of money not having to do NOx and SOx and a whole bunch of others. And so at those prices, yes, no, things are very good and a new one, obviously, you double the capital so you would be more -- you wouldn't get as good of a return at the same price.
Mitchell Moss: Okay, so it would be sufficient though to tell me and talk about -- I just want to make sure there was also some confusion from an earlier question on boiler conversion versus a full combined cycle repowering. What -- you're talking about the combined cycle repowering, correct?
Brett Gellner: Yes. Yes. So remember, the boiler conversion effectively is just replacing the coal burners with gas burners. It's a relatively straightforward, small dollars, relative dollars, short outage. But you don't get the benefit of the lower heat rate. The repowering is putting new combustion turbines, gas turbines effectively in [indiscernible] to generate not only power but steam. We then take that steam and run it through the existing steam turbine that's being fed by that boiler today, so we dismantled the boiler, but we utilized the steam turbine and transformer and a lot of other capital and infrastructure that's already there. And as a result, that's quite a bit lower than having to build a brand-new where you have to build a steam turbine as well. It includes a steam turbine as part of the package. So two different capital profiles but one has better heat rate and longer life, the other one is very low capital, but you don't change the heat rate dramatically. And both are good economic projects and remember, even if we do a boiler conversion and run it to the end of the legislated life, you got steam turbines still in good shape, one can do the repowering on it, and now you've extended the life of that unit as well. But that's further down the road, so...
Dawn Farrell: Yes, think about it this way, it's -- a capacity market demands two products. It demands low-cost capacity and low-cost energy. So the simple conversions are directed towards low-cost capacity and the hybrid is really smoking hot, low-cost energy, and so that's what we're -- that's -- so we believe that our portfolio with those two products in it is really competitive, and that's what we're -- that's why we've decided to spend some resources this year to see if we can get one of these hybrids off the ground because of the way lower cost that they have relative to a brand-new combined cycle.
Mitchell Moss: And when you talk about the two units, do you mean -- is this going to be the potential Sundance -- both Sundance and Keephills could be converted to one by ones?
Brett Gellner: I think if we are focused on the one by one or it could be a 2 on 1 is more on Sundance because remember, there are higher heat rate units, K1 through 3 are newer plants, lower heat-rate plants. So if we do the repowering, it's highly likely one of the Sundance units, and that's what we're focused on.
Dawn Farrell: We have four units at Sundance and three at Keephills, so we have seven units to make decisions on.
Mitchell Moss: Okay, okay, so it's not -- when you talk about 2 units, it's not the whole plant. It's potentially just certain units within it.
Sally Taylor: Yes, right, that's right. Okay, so well, we should -- we've got twos more people, and we're getting the -- there's a lot coming in our office, so well, we can get on the phone with anybody after as well. Okay.
Operator: The next question is from John Mould from TD Securities.
John Mould: I'll keep it quick. Just going back to Slide 19, can you just clarify the carbon pricing assumption in those estimates rises to $50?
Brett Gellner: Yes, oh sorry, on the forecast?
John Mould: Yes.
Brett Gellner: Yes, again, you'll have to purchase there.
John Mould: Fair enough.
Brett Gellner: All I can tell you is on the EBITDA sensitivity, one that we showed as well for both hydro and coal, that you'll see in the footnote what we assume there. We assume the existing provincial program and $30 per ton prices.
John Mould: Okay. And then just lastly, on the federal backstop, you mentioned a little earlier, you're not subject to it today, but conceivably, it could be one day. Can you just maybe provide some color on your comfort with how that framework has evolved relative to the CCIR, particularly as it relates to your hydro facilities?
Brett Gellner: Yes, for sure. And so we're, obviously, very involved whenever there is regulations and very thoughtful in terms of how we think about these things and approach them and work with other participants and it's not just industry, other people that have an interest. We -- I mean, from our perspective, the backstop program is good. I mean, we -- it's a declining proposal, so it starts higher than what the provincial one does today, but it declines essentially towards the provincial one is, I think, right in 2030 and which is essentially a combined cycle type of unit. And so from our perspective, our strategy fits nicely into both programs, but we would have less and may be even no carbon obligation on a converted facility for the first few years under the federal program just because we would be coming in below the level until it declined every year. So both are fine, but certainly the federal is a good one.
Dawn Farrell: Better, yes.
Brett Gellner: Is better for converted facilities for sure. It doesn't change a combined cycle or a gas plant. They're both at around 0.37, so they're unaffected. It really impacts coal and coal-to-gas and coal firing.
Operator: Your next question comes from Naji Baydoun from Industrial Alliance Securities.
Naji Baydoun: Just a couple of good questions. Could you go back to the Sundance 4 unit. I think the previous question on mothballing was the change in the outlook. Can you just talk about the -- how we should think about the maintenance work and the output for the unit for the year? And does it impact your guidance at all?
Brett Gellner: So remember, currently mothballed is unit 3 and unit 5, and they are mothballed currently till the end of March of 2020. So 4 and 6 are the only 2 units from Sundance that are currently operating. And in our disclosure, I believe we outlined our maintenance -- plant maintenance, for which units we have. And Sun 4 does have a bit of an outage that will go into that unit this year. And I think the other one -- we have one other Keephills units, but that's in our disclosure, so is that what you're referring to?
Dawn Farrell: Yes, just any units that are mothballed with very minimal expenditure and they're captured inside our guidance and our guidance has not changed at all for this year on anything.
Naji Baydoun: Okay, got it. And just a wrap-up kind of question on the additional tariff from the hydro assets and progress on the coal-to-gas conversion. Appreciate the additional color that you provided today on both of these. Just wondering what you do see as the significant risks to the outlook on both of these initiatives.
Brett Gellner: Look, I don't -- I mean, any projects involve a lot of effort and -- but right now, as Dawn says, we try to model multiple scenarios and this -- the conversion, you got to remember, we always compare it first against being on coal and based on all those things I walked you through. I mean, it makes a lot of economic sense. So we test a lot of different price scenarios, both on gas, carbon, energy capacity and these all make sense. And we look at how much capacity is needed in the market going forward. But that's why we also look at things like repowering and so on and do a mix of that going forward. So there is always risk. I would say, the main risk is just we don't know what the energy and capacity prices are going to be. I mean, we can only do our modeling, and it will be what they will be. But as Dawn says, we're trying to -- we're setting these plants up to be very low cost both from a capacity and energy perspective in a market that needs this kind of capacity. You've got to remember, this is -- a lot of people live here in Alberta, so it's a heavy industrial 24/7. You need power all the time, and you can't do that unfortunately with all wind.
Dawn Farrell: Yes, I think that's it.
Brett Gellner: All right. Thanks.
Operator: There are no further questions at this time. I'll turn the call back over to our presenters for closing remarks.
Sally Taylor: Thank you, Mike. Thank you, everyone, for joining us today and, particularly, thank you to all those people who patiently waited to ask questions. I know it was a bit longer today, and I would just like to reiterate, as usual, anyone who has further questions, please do not hesitate to reach out to either myself or Alex at Investor Relations. We can set up the call if you have further questions that we can't answer. Thank you.
Dawn Farrell: Thank you, everybody.
John Kousinioris: Goodbye.
Christophe Dehout: Bye.
Operator: This concludes today's conference call. You may now disconnect.